Operator: Good day, ladies and gentlemen, and welcome to the West Pharmaceutical Services Q4, 2016 Earnings Conference Call. At this time, all participants are in a listen only mode. Later, we will conduct a question-and-answer session, and instruction will follow at that time. [Operator Instructions] As a reminder, today's conference call is being recorded. I would now like to turn the conference Quintin Lai, Vice President of Investor Relations. Please go ahead.
Quintin Lai: Thank you, Candice. Good morning and welcome to West's fourth quarter and full year 2016 conference call. We issued our financial results this morning and the release has been posted in the investor section on the Company's Web site located at www.westpharma.com. This morning, CEO, Eric Green and CFO, Bill Federici will review our results, give you an update on our business, and provide a financial outlook for the full year 2017. There is a slide presentation that accompanies today's conference call, and the copy of that presentation is also available on the investor section of our Web site. On Slide 2 the Safe Harbor statement. Statements made by management on this call and in presentation contain forward-looking statements within the meaning of U.S. federal securities laws. These statements are based on management's beliefs and assumptions, current expectations, estimates and forecasts. There are many factors that can influence a Company's future results that are beyond the ability of the Company to control or predict. Because of these known or unknown risk or uncertainties, actual results could differ materially from past results and those expressed or implied in any forward-looking statements. For a nonexclusive list of factors which could cause actual results to differ from our expectations, please refer to today’s press release, as well as any further disclosures that company makes regarding the risks to which it is subject in the Company’s 10-K, 10-Q and 8-K reports. In addition, during today's call, management will make reference to non-GAAP financial measures, including sales at constant currency, organic sales growth, adjusted operating profit, adjusted operating profit margin and adjusted diluted EPS. Reconciliations and limitations of the non-GAAP financial measures to the most comparable financial results prepared in conformity to GAAP are provided in this morning's earnings release. I now turn the call over to West's CEO and President, Eric Green. Eric?
Eric Green: Great. Thank you, Quinton. And good morning everyone and thank you for joining us today. A little more than one year ago, we announced a realigned organizational structure to better support our market led strategy. We did this to heighten our focus on becoming the leader in the integrated containment and delivery of injectable medicines. We shared with you that this looks to be a long-term journey to feel growth and profits for West. And I'm pleased to say we are well on our way. We delivered a strong set of results in 2016 and we are poised to continue this growth in 2017. To recap for you we've reorganized our company into three major groups. Commercial, global operations, and innovation and technology. Within the commercial team, we created two segments proprietary products and contract manufactured products. To ensure alignment with our customers in addressing the specific needs of each, we created the pharma, generic and biologics market units. We transitioned away from a regionally focused operation to a globally managed network, expanding capacity and significantly reducing delivery lead times of critical high value products. At the same time, we raise the bar on our already industry leading quality metrics and increased our focus on operational efficiencies which has allowed us to better address the demand of our worldwide customer base. Under our newly formed innovation and technology team, we continue to build momentum by adding new high-value products to our components business, while achieving milestones successes with customer FDA approvals of drug using Crystal Zenith and SmartDose technologies. And through all of this transition, we continue to meet our long-term financial objectives. We ended the year with over 9% organic sales growth, which is above our long-term target of 6% to 8%. We expanded both growth and adjusted operating profit margins and generated strong 19% adjusted diluted EPS despite having a $0.04 FX headwind. Turning to Slide 4, when we look at the growth rates over the past year 2016 stands out as being an impressive year for both organic sales and adjusted EPS growth. We are pleased with our track record of creating incremental shareholder value year-over-year. Today we are laser focused on executing our long-term strategy, which should enable future growth at the same pace. Turning to Slide 5, looking at the year the proprietary products segment represented 79% of total sales with organic sales growth just under 10%. This segment was led by double-digit organic sales growth in biologic and generics market units, with mid-single digit growth in our pharma market unit. Organic sales growth of high valued products was 20% for the year. Our market leading position remains strong, as we achieve 90% participation on all of the new injectable drugs approved by the FDA in 2016. Our end markets remain stable and growing. Demand from our biologics customers was strong and steady throughout the year, as we continue to see demand from both large biologics and emerging biologics customers. Generics growth for the year was solid with exceptionally strong sales in the first half of the year, offset by a weaker Q4 as some of our large customers manage their inventory in response to our successful reduction in lead-time. Some of our generics customers placed very large volume orders, which can cause quarter-to-quarter variability. We believe on a 12-months rolling average these variability's typically even-out. When we look at our smaller generics customers which is over half of the market unit sales we have seen a much steadier growth pattern of high single to low double-digits. Pharma, which represents some of the largest and most mature customers delivered steady mid-single digit growth throughout the year. We see continued opportunities to migrate our Pharma customers from standard component to high value products and we are seeing good traction and synergies between our components business and contract manufacturing. Our contract manufacturing business which represented 21% of our total sales grew organically mid-single digit with double-digit growth in Q4, much of the Q4 outperformance is related to tooling sales as we are adding equipment on behalf of our customers and ahead of meaningful high volume campaign that will begin later this year. The typical tie between installing tooling equipment and commercial volumes is about 12 months to 18 months which makes us optimistic about accelerating growth for contract manufacturing as 2017 progresses. Turning to global operations on Slide 6. The team has had a number of successes in 2016, recall that our backlog had risen to approximately $450 million in Q1, because we’re capacity constrained for certain high value product lines. Due to our global operations focus our lead times to continued its improvement, the team increased operational efficiency and effectively added capacity to our network. As we ended the year, the backlog has come down to $373 million, an 8% decline at constant currency from 2015 year-end levels. Another area of success has come from the creation of a global supply chain and procurement organization, which is driving cost savings across the business and stronger management of our global supply base. At the same time, we continue to reinvest in our business for future growth. We recently completed and commissioned a 60,000 square foot expansion of our Dublin, Ireland contract manufacturing facility on time and within budget. I attended the opening in Dublin and was pleased to hear directly from customers how important the facility will be in helping them prepare for their product launches. Commercial production at Dublin has already begun and will ramp up throughout 2017. And we remain on schedule with the first phase of our Waterford Ireland site, which will manufacture insulin rubber sheeting. Additionally, we continue to build out high value product capacities in our other two centers of excellence in Kingston, North Carolina and in Singapore. Turning to Slide 7. 2016 was a year of new product launches by our innovation and technology team. Many of these were highlighted during the year, this is a good time to remind you that like many R&D projects, these are the results of years of work behind the scenes. Because our products are used in various medical application, we conduct extensive and time consuming testing and validation before any product is launched. Turning to Slide 8. This is a snapshot of our innovation and technology pipeline. While we often talk about CZ and SmartDose, the innovation and technology team is working on numerous project that will enhance our entire portfolio with new innovation and product line extensions to address customer need. On Slide 9. We have outlined our full year 2017 outlook. In October of last year, we set initial 2017 organic sales growth guidance to be at the high-end of our long-term range of 6% to 8%. With solid markets fundamentals, we are raising our 2017 organic sales growth outlook to a new range of 7% to 9%. As we have noted, we expect strong double-digit high-value product growth. In generics, we expect safely stock reduction to dissipate in the first half, with an acceleration in the second half resulting in the high-single to low double-digit growth for the full-year. Finally, we also expect a shift of sales from tooling to commercial product and contract manufacturing as the year progresses. We anticipate another year of strong gross margin expansion with R&D and SG&A providing an additional leverage. Resulting in adjusted EPS guidance in the range of $2.45 to $2.57. This represents a 12% to 18% year-over-year growth and includes a $0.05 to $0.07 EPS headwind from a stronger U.S. dollar. Excluding this impact EPS is anticipated to grow 15% to 21% which is twice our anticipated organic sales growth. Now, I'll turn it over to Bill Federici, who will provide more color on our financial performance. Bill?
Bill Federici: Thank you, Eric, and good morning everyone. We issued our fourth quarter results this morning, excluding the effects of special items from both periods, fourth quarter 2016 earnings was $0.54 per diluted share which is the $0.47 we earned in Q4 of '15. A reconciliation of these non-GAAP measures is provided on Slide 16 through 19. Turning to sales, Slide 11 shows the components of our consolidated sales increase. All references to sales amounts are to constant currency. Consolidated fourth quarter sales were $382.3 million, an increase of 7.7% over fourth quarters 2015 sales. Proprietary product sales were $290 million, a 6.5% increase over the same quarter of '15. A favorable sales mix and volume growth accounted for 6% percentage points of the increase modestly higher selling prices contributed to the remainder of the increase. High value product sales increased 14% versus the prior year quarter. For the full-year 2016 high value product sales increased approximately 20% versus 2015. Combined CZ and SmartDose sales and development activity were $27 million for full-year 2016, a 10% increases versus the prior year. Contract manufacturing product sales were 92.4 million, an 11.6% increase over the sales in the prior year quarter due to higher drug delivery and diagnostic product sales including increase in lower margin tooling revenues. As provided on Slide 12, our Q4 2016 consolidated gross profit margin was 32.3% versus the 33.3% margin we achieved in the first quarter of '15. Proprietary products fourth quarter gross margin of 36.9% is 0.4 margin points lower than the 37.3% achieved in the fourth quarter of '15. A favorable mix of products sold, modest sales price increases and continuing savings and plant efficiencies were more than offset by the impact of higher general inflationary cost, yen denominated material purchases which had an unfavorable impact at 2.2 million or $0.02 EPS headwind in the quarter, and facility startup cost, contract manufacture product fourth quarter gross margin of 17.6% was 2.2 margin points lower than the prior year quarter due to an unfavorable sales mix mainly from incremental low margin tooling sales and unabsorbed overhead, especially in our recently concluded Dublin manufacturing facility. As reflected on Slide 13, Q4 2016 consolidated SG&A expense decreased by 1.5 million compared to the prior year quarter. The decrease is due primarily to low achievement levels on incentive comp programs offset by staffing increases and high stock compensation cost. As a percentage of sales, Q4 2016 SG&A expense was 1.5 percentage points less than the prior year period. Slide 14 shows our key cash flow metrics, operating cash flow was 290 million for the full year of '16, 7 million more than 2015 due primarily to our strong operating results, offset by higher working capital requirements. Capital additions of roughly 170 million were mainly in 2015, roughly 60% of the capital spend is on new products and expansion efforts, including approximately 55 million in Waterford and 20 million for our recently completed Dublin contract manufacturing facility. We expect capital additions of between 150 million and 175 million in 2017, including approximately 60 million of cost associated with the new Waterford facility. Slide 14 also provides some summary balance sheet information. Our balance sheet continues to be strong and we’re confident that our business will provide the necessary future liquidity. Our cash balance at year-end was $203 million, 72 million lower than our December '15 balance, roughly 50% of that cash is invested overseas and is generally not available for repatriation without tax consequences. The lower cash balance reflects the payment at maturity of our Euro B notes in February of '16. Debt at year-end was $229 million, 70 million less than at prior year-end, due to the payment at maturity of our Euro B notes. Our net debt to total invested capital ratio at year-end was 2.2%, approximately the same as in the prior yearend ratio. Working capital total 401 million at yearend, 41 million higher than the prior yearend due to increases in receivables and inventory balances reflecting our growing business. Our backlog of committed orders was 373 million as of December '16, which is approximately 8% lower than our December '15 balances, excluding exchange due to the actions taken to increase capacity and throughput reducing plant lead times and relieving the backlog. We have issued our full year 2017 guidance in this morning's release. That guidance to summarized on Slide 15. Our guidance is based on an exchange rate of $1.05 per Euro. Our actual 2016 results translated at $1.11 per Euro rate. The exchange rates will likely continue to be a headwind throughout 2017 due to the strengthening in U.S. dollar versus other currencies. Currency volatility in Asian and emerging market is expected to add headwinds for the business in 2017. We expect our 2017 effective tax rate to remain at approximately 29%. Our tax rate is highly dependent on the geographic mix of earnings, which driven by the sales of high value products has been migrating towards higher tax rate jurisdictions like the U.S. which has an adverse effect on our tax rate. Our 2017 guidance includes a $0.02 EPS benefit resulting from our previously announced 800,000 share repurchase plans. We expand our Q1 2017 margins will continue to be adversely impacted by the effect of currencies including the Venezuelan bolivar, Brazilian riyal, the Euro and the Japanese Yen, customer employ management and plant startup costs. We expect a resulting Q1 consolidated operating profit margin of approximately 14.8% to 15%. All of these factors are included in our full year 2017 guidance. The growth accelerating throughout 2017 in our generics and contract manufacturing market units, we expect a stronger second half of 2017 compared to the first half. We expect to deliver on our full-year 2017 earnings guidance of $2.45 to $2.57 per diluted share which on a constant currency basis represents an increase of between 15% and 21% in diluted EPS over 2016. I now like to turn the call back over to Eric Green. Eric?
Eric Green: Great, thank you Bill. In conclusion, we delivered a strong set of results and made significant progress in executing the first year of our long-term market led strategy. Our commercial team continues to make deeper in-roads with the discreet customer groups we have targeted. Our global operations team has a roadmap to improve quality, safety, service and cost. And our innovation and technology team is building a strong pipeline of integrated containment and delivering products to meet customer needs. For this reasons we believe the future looks bright, and we will continue to deliver long-term value for our customers and shareholders. Candice, we are ready to take questions. Thank you.
Operator: [Operator Instructions] And our first question comes from Paul Knight of Janney Montgomery. Your line is now open.
Paul Knight : Can you go over the exact organic growth, excuse me, starting with FX could you give me the impact for FY '16 total and kind of where your thoughts again are on the potential impact on '17?
Bill Federici : So for '16 Paul, for the full-year the FX was a $0.04 negative hit to us. For 2017 we expect we'll seeing continued headwinds from currencies. The euro has declined as dollar strengthens against that and against Asian and South American currency. So we expect to see a $0.05 to $0.07 reduction adverse headwinds from currency in 2017.
Paul Knight: And then your Op margin the guidance for Q1 was what Bill?
Bill Federici : 14.8% to 15% and that's consolidated operating profit margin.
Paul Knight: And then lastly regarding Ireland, when -- will we see any revenue contribution from net of capacity expansion here in 2017?
Eric Green: Yes, in regards to Waterford, in the Phase I of the insulin sheeting we are in process towards the end of 2017 to validate with our customers and the commercial revenues will be observed in the first part of 2018. On the Dublin contract manufacturing facilities, we have started up and we’ll start seeing commercial revenues ramp up throughout the year for our industry customers.
Paul Knight: And then Eric, can you talk about what you’re seeing with projects in Phase III or projects Crystal Zenith, tone of market for your proprietary product line?
Eric Green: Yeah. Paul, there is really two ways of looking at it, one is start with the high value products portfolio, on our last commercial sales. We continue to see very healthy conversion going from standard packaging up to high value products and addition too we’re seeing new molecules which is exhibited in 2016 injectable drugs that were approved were around 90% of those. And so we’re seeing a very nice uptake continuing in our high value products. That said, the innovation team is continued to expand the portfolio and raising the capabilities to new formulas, new processing technology to raise the quality standards, which obviously bodes well with our customers today. When we look at on the CZ and SmartDose, or in self-injection devices, we’ve seen in bulk situations of both of those product lines, an increase of number of developments. So in SmartDose there is a slight increase on the number of developments with customers and there is more conversations going on today than we’ve had over a year ago. And then on the CZ there is an increase on formal stability. So, we’re still very pleased with the progress, although its timing with our customers, we still see those two platforms very strong viable growth long-term.
Operator: Thank you. And our next question comes from Tim Evans of Wells Fargo. Your line is now open.
Sarah Silverman: Hi, this is Sarah Silverman on for Tim. Just a couple of for you guys. I want the follow-up on the FX guidance. We have tried to model the FX impact on EPS pretty carefully for 2017, but it still looks like we kind of under called the headwind. Can you help us understand the FX mix in your cost base, particularly a little more details on the yen, euro, and then any of those other currencies that are pretty impactful?
Bill Federici: Sure. So, Sarah the euro versus dollar, everybody knows that one. When we talked to you last year at the end of October, it was hovering right around above $1.10 per Euro. Now, we’ve guided here for the full year our view of it is that at leading at $1.05. Now obviously, that will change, but we had to put a stake in the ground somewhat, so we put it at $1.05 per Euro. On the other pieces of the puzzle, certainly in Asia, where we sell at our Singapore facility in both dollars and euros we’re seeing the impact of the strengthening dollar there as well. And in South America we're seeing the volatility of those currencies continue and that will continue to provide a headwind for us. In addition to the fact that we still have an investment in Venezuela and we noted the situation there, should there be another official devaluation, we have an exposure of somewhere between $5 million and $7 million depending on what they devalue the business too. So, those are the primary drivers there, I mean there is a lot involved in this obviously, as we are very global business with operations all over the place, but that is for the primary drivers.
Sarah Silverman: Okay. In terms of like percent of your cost base, do you have an idea of like how much is Euros how much is Yen?
Bill Federici: I could give you on the sales and then you can convert that, but it's not perfect. So on the sales for 2016 we were 40% basically Euro based and Asian and Latin and South American businesses we're [technical difficulty] magnitude 10%.
Sarah Silverman: Okay. And then just another one on guidance. You guys took up your constant currency revenue growth guidance. Can you elaborate on the factors that give you confidence around that to raise the guidance this early in the year, kind of considering it's a bit second half loaded?
Eric Green: Sarah, we take a look at what we have accomplished in 2016, looking at the pending order list that we have with our customers and also the investments we made in certain parts of our business we feel really strong with the 7% to 9%, to dimension that's a little bit, our pharma business we believe that we'll continue with mid-single growth as in -- obviously, we delivered that in '16. In the generics business, while there is some lumpiness with their top customers and I mentioned earlier that smaller customers on generics are lower than 50%, but really about third of our business are five large generics and we have clear visibility on their stocking and they are actually moving up to high value product curve and the strength of our operations reducing lead times by 2x has given the top and continues to stay high single low double in that business. Biologics, we have seen continued strength around double-digit consistently. And then contract manufacturing is one that in 2016, we are about mid-single, but with the investments we made we are ramping up to the high-single throughout 2017. And if you add all that up, it's between that, we're very comfortable with the 7% to 9% organic.
Sarah Silverman: Okay, and just to clarify, if you had to pin point what kind of pushed the needle from October to say now, like would you pin point one thing or is it generally broader growth than you had previously anticipated?
Bill Federici: Yes, I would say one is the uptake on the conversations we're having with the generic, and as we talk about our innovation platform, we're already looking at potentially new formulas for them that will allow us to compete more on the high value products and do the switching. So it's a little bit a type of comp, that's the difference between I'd say in October then what we are today.
Sarah Silverman: Okay, thanks so much.
Operator: Thank you. And our next question comes from Larry Solow of CJS Securities. Your line is now open.
Larry Solow : Just a couple quick follow-ups. Which is on the backend loaded outlook, obviously backlog was down 8% I guess year-over-year and that's obviously, with regards to your motivation what you want to do. So clearly that was a little bit higher. You mentioned some customer change in order patterns, inventory patterns. Is that sort of part of the reason for the back ended loaded outlook? Maybe you expect some adjustment, I know you has of adjusted in your generics customers this quarter. It looks like you expect some of that to happen on the biologics side as well?
Eric Green: Yes, when we look back in Q4 we knew -- talking with our generic customers, we knew that because of the success we have with reduced lead times, that there was going to be a reduction on their safety stock in their own manufacturing facility. And therefore, we have that anticipated and really first half of 2017. But was brought forward a little bit earlier than we anticipated in the later part of Q4. So that is one of the drivers that we see as a reason why you're seeing stronger growth in the second half of 2017 than the first half. The other is, as we mentioned early about the contract manufacturing, some of the investments we made in the tooling and getting our sites up and running are in the ramp up phase at this point. And that’s what bring in in the mid-single to the high-single and again a lot of that's borne in the back half of the year.
Larry Solow : Got it. And then just -- and you mentioned tooling and the investments in that side of the business. Just in terms of gross margin, obviously, your outlook is for pretty nice improvement 120 to 160. So, it looks like '16 was little more impact than we though, particularly in Q4 from some of the startup costs. The improvement going forward, it sounds like -- and you continue to get the expansion from the better mix and then I guess your conversion to more of a commercial from the tooling and lower I guess startup costs. So those are sort of the factors that will draw the expansion this year?
Eric Green: Yeah. Larry, absolutely two things. One is, since they're on contract manufacturing, is that, we anticipate lower levels of tooling revenues in '17 than we did in '16, that was a little bit unusually higher for us, though mostly in the Q4 timeframe. I think also with the ramp up we have with our generics and moving more towards the high value products, as you know our high value products or almost 2x on the gross margin than our standard projects. And we still see very strong double-digit growth in high value products and that’s a major drive of this shift. Bill, you want to add some color to that?
Bill Federici: Yeah. On the contract manufacturing side Larry, the tooling revenues are very, very low margin as you suggested. So that mix shift from -- but the good news is, it’s a poor shadowing of commercial business coming through on contract manufacturing. Those customers are ready, we’re starting to provide them product. So Q1, starting in Q1 and going through 2017, we'll be replacing tooling revenues with good margin revenues in contract manufacturing. So, yes it did absolutely hurt us, that tooling piece was about 6.5 million of extra tooling revenues in the fourth quarter of 2016, which hurt us to a tune of 1.2 margin point in contract manufacturing. So, we expect it to be the mix shift and as it starts to come with those new customers to really bring us up on the margin scale for contract manufacturing throughout the 2017.
Larry Solow : Got you. And it looks like price helped you benefit, you guys benefited a little bit on the quarter about 0.5% or so. What was the benefit for the full year and going forward, do you expect maybe the benefits to increase on pricing front?
Eric Green: Larry, we historically in the last several years have been roughly around 1% price contribution in our business. I would say '16 it was slightly less than that, and at this point and as we looked into '17, we believe we’ll still continue to be around that 1% plus or minus slightly. But, not a significant deviation from what we’ve seen over the last two years or three years.
Larry Solow : Got you. The CZ, SmartDose total numbers did you say that was 27 million?
Bill Federici: 27 million Larry, yes. About 10% increase on a constant currency basis over 2016.
Larry Solow : Got it. It was sort of closer to flat I guess on a reported basis or?
Bill Federici: On a reported basis it's flat, but when you take out currency it's about 10% up.
Larry Solow: Okay, and then the so I guess sort of -- I know we have expected some significant decent amount more growth, obviously it's a small number, so the percentages get a little skewed, but was that slower on the SmartDose side, CZ side, both any color there would be great.
Eric Green: So it's two elements, one is the development agreements that we were working on and later prior to 2016 are looking to implement more in the early 2017 timeframe. The second is around commercial ramp up working with our customers and we have pretty clear line of sight. But that is some push more into early '17 than late '16. So those are the two elements that really drove that 10% growth versus a little bit higher than we anticipated.
Larry Solow: So it sounds like more timing than anything else?
Eric Green: Yes, Larry it's a timing factor.
Larry Solow: Great. And then just lastly on the tax rate. Obviously, hovering slowly creeping up towards 29%. Sort of a high-class problem. But as you look out going forward, excluding any potential corporate tax overhaul in the U.S. nothings [ph] happen there, but as you shift more into Ireland and whatnot do you expect this rate to maybe at least stop going up and then over time hopefully coming down a little bit?
Bill Federici: Absolutely, Larry. But you got to be patient with these things. As you know our business, we are not expecting any real growth coming out Waterford in 2017, really doesn’t start commercial until early part [technical difficulty]. We'll get some benefit out of contract manufacturing in Dublin, more activity there, more sales there. But it's at 20% margins as oppose to the high 55% high value product margins we expect out of Waterford. So, yes the answer is -- the long-term answer is, absolutely we believe if we can drive our effective tax rate south, but to be honest, in the interim as we continue to sell more and more high value products in the U.S. and other high tax jurisdiction countries there is going to be upward pressure on that rate. I don’t expect it to move a lot during 2017, but I wouldn’t be expecting a significant decline in 2017.
Larry Solow: Got it, great. Okay, thanks a lot guys. Appreciate it.
Operator: Thank you. [Operator Instructions] And our next question comes from Derek Brown of Bank of America. Your line is now open.
Juan Avendano: This is Juan Avendano on behalf of Derek. I wanted to start out, you used to provide gross margin guidance by segments, just curious as to why you stopped doing that this quarter?
Eric Green: Honestly, what we're trying to do is just to provide -- be transparent and we believe this is a business, the way to business is evolving these entities, market units, it's more effective to talk about it the way we are.
Juan Avendano: And the adjusted operating margins what should we expect for 2017? Just curious what the contribution maybe from any SG&A or R&D leverage?
Eric Green: So I'm not clear on the question Juan, do you mean for the whole year or are you just talking regarding the we talked about Q1 and we also gave some guidance that it relates to the full-year on consolidated gross margin.
Juan Avendano: I'm talking about the operating margin full-year.
Eric Green: So from the leverage perspective, yes, absolutely we expect leverage to come from both SG&A and R&D. So our operating profit margin will be, expansion will be greater than our gross profit margin expansion.
Juan Avendano: Okay. And my next question is on the contract sales segment. And so you’re guiding for high single-digit organic growth this year. But this above your long-term outlook for the segment which is mid-single digit. Is this a 2017 only phenomenon or are you changing -- or do you still expect mid-single digit in the long-term for contract manufacturing?
Eric Green: Yes, Juan. At this point, when we take a look at the business, this 2017 is really a ramp up of the investments made in '16 and just to be a little more granularity, this is really the focus on the diabetes market on delivery devices, whether it’s insulin pens or even continues glucose monitoring devices. And as the ramp up phases, we’ll see a higher impact on the percent growth rate in '17. We anticipate that to kind of level back to mid-single long-term as we see the markets today are slightly better than the market. So that’s what we’re looking at, it's more of a '17 ramp up.
Juan Avendano: Okay. Good. And one of your -- just recently at the end of last year, one of your competitors and also customers had their Analyst Day and it seems like they’re focusing a lot more in the self-injection market, they plan to launch a product every year with one particular product being launched this year in the diabetes market. What opportunities or challenges does this present to West?
Eric Green: Yeah. I think when we look at the diabetes market, you’re right, when we look at the primary container of where we sit with our [indiscernible] business, we're basically on all the formats for the delivered devices. When it comes to the device itself, for contract manufacturing there are a number of players. Especially when you start talking about wearables, it's a very early stage at this point. But we feel good about where we are, we are a critical supplier partner with the large insulin manufactures. We also have connectivity to other firms that are looking at this space from a device perspective. So, you’re right, there is a number of competitors are looking at it because of the attractive growth, but we’re already in the market, we’re expanding the market, we’re adding new products to build support, the growth of our customers.
Juan Avendano: Okay. And lastly, similar to the pricing question before based on my calculations, you got about 70 basis points of pricing of 2016 is slightly below the usual 1% typically year-over-year. Are you seeing any pressure at all given the cascading down from the biopharma direct pricing scrutiny?
Eric Green: No, I would say that at this point it's pretty consistent to what we have been seeing. Obviously with products that have been in the drug market for a number of years maybe over a decade, may have more pressure on the standard packaging components. But, when we look at the high value products and the devices we obviously have continued runway to capture 1% per annum. So, we’re pretty comfortable with that.
Juan Avendano: Okay. Thank you.
Operator: Thank you. And that concludes our question-and-answer session. And now I’d like to turn conference over to Quintin Lai for closing remarks.
Quintin Lai: Thank you, Candice and thank you for joining us on today's conference call. An online archive of the broadcast will be available on our Web site at westpharma.com in the investor section. Additionally, you can get a telephone replay through Thursday, February 23rd, by dialing the numbers and conference ID provided at the end of today's earning release. That concludes today's call have a nice day.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program, and you may all disconnect. Have a great day everyone.